Operator: Good morning and welcome to the SecureWorks Fourth Quarter and Full Year Fiscal 2018 Financial Results Conference Call. Following prepared remarks, we will conduct a question-and-answer session. [Operator Instructions] At this time, all participants are in a listen-only mode. We are broadcasting this call live on the SecureWorks Investor Relations website. After the completion of the call, a recording of the call will be made available on the same site. Now, I will turn the call over to Teri Miller, VP and Chief Accounting Officer. You may begin.
Teri Miller: Good morning, everyone, and thank you for joining us today to review SecureWorks’ financial results for the fourth quarter and full-year of fiscal 2018. This call is being recorded. This call is also being broadcast live over the internet and can be accessed on the Investor Relations section of SecureWorks website at investors.SecureWorks.com. The webcast will be archived at the same location for one year. This morning, SecureWorks issued a press release announcing results for its fiscal quarter ended February 2, 2018. You can access this press release on the Investor Relations section of the SecureWorks website. During this call, management will make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include, but are not limited to, guidance with respect to GAAP and non-GAAP revenue and net loss per share as well as adjusted earnings before interest, taxes, depreciation and amortization. Our forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated by these statements. You can find a description of these risks and uncertainties in this morning’s earnings press release and in the Company’s annual report on/in Form 10-K for the year ended February 2, 2018, which will be available later today on our Investor Relations website and on the Securities and Exchange Commission’s website. All forward-looking statements made on this call are based on assumptions that we believe to be reasonable as of this date, March 28, 2018. We undertake no obligation to update our forward-looking statements after this call as a result of new information or future events. Some of the financial measures we use on this call are expressed on a non-GAAP basis. These non-GAAP measures exclude stock-based compensation, the impact of purchase accounting, amortization of intangibles and the related tax effect of these items and impacts from the Tax Cuts and Jobs Act of 2017. We have provided reconciliations of the non-GAAP financial measures to GAAP financial measures in today’s earnings press release available on our website. Non-GAAP measures are not intended to be considered in isolation from, a substitute for, or superior to our GAAP results, and we encourage you to consider all measures when analyzing SecureWorks’ performance. Also, as reminder, all financial information discussed is non-GAAP and growth rates are compared to the prior year periods, unless otherwise stated. Please recall fiscal 2017 has 53 weeks of operations with the fourth quarter having the extra week. With us on today’s call are Michael Cote, President and Chief Executive Officer of SecureWorks and Wayne Jackson, Chief Financial Officer. Following their prepared remarks, we will take your questions. We would appreciate you limiting your initial questions to two so that we may allow as many of you to ask questions as possible in our allotted time. In the event if you have additional questions that are not covered by others, please feel free to re-queue and we will do our very best to come back to you. Thank you for your cooperation on this. Now, I would like to turn the call over to Mr. Cote.
Michael Cote: Thank you, Teri. And thank you, everyone, for joining us this morning for our fourth quarter 2018 earnings call. I am pleased to report that from a revenue and sales perspective, Q4 was the best in our history and exceeded our expectations. Revenue in the fourth quarter $121 million, up 10%. Our monthly recurring revenue grew 12% year-over-year and $1.9 million sequentially to $35.3 million, our largest sequential dollar increase in MRR in 10 quarters. This is a direct result of the hard work and determination of all of our key members, and I want to take this opportunity to thank each of them. In the fourth quarter, we saw strong demand in all geographies and all industries. In the quarter, we closed 16 contracts greater than $1 million, which represents the 45% sequential increase in the number of deals in this group. The total value contracts in this group increased 58% sequentially demonstrating our progress with larger, more complex security programs in both North America and internationally. In fact, our international momentum accelerated this quarter as our sales execution continued to improve and demand remains strong. In EMEA, sales grew 30% for the full year and 60% in the fourth quarter, while APJ grew 58% for the full year. I am excited Geoff Haydon is joined our SecureWorks' team as Chief Revenue Officer. Geoff's many years of successfully leading large sales organizations and working in the global security industry as well as the wealth of knowledge he has gained from his operating and general manager roles are tremendous addition. Geoff has been with us about 2 months and is hit the ground running. He recently have the opportunity to lead our annual sales kick off meeting and his focus is on the following areas. First, people. Progressing, elevating and expanding our sales team and markets around the globe. Second, productivity. Increasing the efficiency of existing team members and accelerating the onboarding of new team members. Third, coverage. Optimizing our coverage model. And fourth, message and methodology. Defining and executing sales plays that are repeatable and drive growth. Although I am pleased with our progress in the fourth quarter, one quarter does not make a trend. Our client count remained to 4400 while we increased our average revenue per client by 11% in Q4 with our success in the enterprise space, we must expand the broader base as well. Q4 sales results were good, but we must continue to focus on increasing productivity across the entire team on a consistent basis. While there is still opportunity for improved execution, based on Q4 results and our sales pipeline, I am cautiously optimistic as we start fiscal 2019. We made some hard decisions in Q4 to realign resource levels in certain areas which will allow for incremental investment in the business this year. We have an experienced executive leadership team in place, talent across the entire organization and the industry recognized security solutions required to continue to accelerate our growth. One of the hallmarks of our company is our passion and expertise in protecting our clients. We strive to provide excellence and we consistently seek to raise the bar by delivering industry leading solutions that protect our clients in today's digitally connected world. We believe that our commitment to excellence has led us to be recognized as an industry leader. SecureWorks is once again positions in the Leaders Quadrant in Gartner's 2018 Magic Quadrant for Managed Security Services, Worldwide. Making this the 10th consecutive time the company has been recognized as the leader in this report. We know these accolades must be earned each and every day, one client at a time and spending time with our clients one thing is clear. The security landscape is changing faster than ever. We welcome and embrace this change as we see an opportunity to capitalize on our strength as the market transforms. A great example of our ability to seek opportunity in this changing market is evident on one of the deals we closed in the fourth quarter. We signed a three year multi-million-dollar contract with a global packaged food producer that has an aggressive digital transformation program underway. The solution set for this client encompasses prevention and detection solutions which leverage our years as cyber-attack data, thousands of threat models and analytic capability, all powered by the counter threat platform. We layered in our managed detection or response solutions which validates the threat real time and remediates the threat accordingly. Next, we bring predictive capability of our threat intelligent solutions and finally, we are bringing our security architecture and design solution for a complete secured transition to the cloud. Of note, as we continue to expand our playbooks, all of our clients will see a marked reduction in the complexity of repeated tax and an increase in the speed of the response to threat events. We were chosen in this competitive process because one, our ability to develop comprehensive security program unique to this client needs, two, speed. They needed the solutions up and running quickly while providing the ability to leverage data and analytics to tune solutions as we progress together and third our data driven innovation and our agility to take the transformational journey with them. Securework is uniquely positioned to help clients with on premise cloud based and hybrid environments in a connected and comprehensive way. In a nutshell, the depth of our portfolio along with the full capability of organization to quickly develop, deliver and continually transform what the clients' needs ultimately was the winning formula. As SecureWorks, we are uniquely positioned in the industry. Our solutions are based on years of cyber-attack data and machine learning based solutions that is a foundation of our counter threat platform. We also recognize that velocity is key in our industry. Given the quickening pace of change in cyber security, we have dedicated a portion of our research and development spend to developing a new solutions framework that will allow for the rapid creation of high value security applications, leveraging machine learning across diverse data sources. The applications will leverage our own proprietary technology and the effect of the community of trusted partners to rapidly develop and iterate. This new design will also meet the growing needs for greater control over data access including where data resides. Our goal every day is to protect our clients and we remain committed to bringing the best security solutions to our clients and leveraging emerging trends to drive growth. I will now turn it over to Wayne to talk about our performance in the fourth quarter and full results in more details. Wayne?
Wayne Jackson: Thanks Mike and good morning everyone. In the fourth quarter, revenue was a 120.8 million, a 9.6% increase when normalized for the extra week in 2017. We exited the quarter with monthly recurring revenue or MRR of 35.3 million, an increase of 11.7% and a 5.7% increase sequentially. Our average annual subscription revenue per client was $96,000 this quarter, a 10.7% increase over the prior year and a 5.8% increase sequentially. As Mike noted sales results for contracts greater than $1 million were at 58% sequentially as we continue to reap the benefits of our sales investments in the enterprise space as well as in our international markets. A couple of other revenue items of a specific note, revenue outside the U.S. grew to 17.7% of total revenue for the quarter, up from 14.7% last year, primarily on consistently strong growth in both EMEA and APJ. In addition, we have strong demand for consulting services as SRC revenues increased to 22.6% of total revenue for the fourth quarter. For full fiscal 2018, subscription revenue was 78.2% of total revenue with consulting revenue representing 21.8% of total revenue. We believe the 80:20 historical mix remains a reasonable estimate of revenue mix for fiscal 2019. Revenue retention in the period was 96% versus 97% in the third quarter. As a reminder, revenue retention measures how well we have maintained revenue for clients we had on the first day of the year. Recall that this metric applies only to active clients and excludes backlog. Higher service churned in the first half of fiscal 2018 was a challenge to overcome as we move through the year. Our fourth quarter gross margin was 52.8% compared to 55.8% last year and 55.7% in the prior quarter. In Q4, severance cost negatively impacted gross margin by approximately 100 basis points. Incentive compensation was higher by approximately 50 basis points due to the better MRR performance in the fourth quarter. Also, the overall shift in revenue mix SRC and associated delivery costs negatively impacted margins by approximately 150 basis points. Moving down the income statement, our fourth quarter operating expenses totaled $78.8 million compared to $68.7 million last year. In Q4, our severance cost aggregated $2.7 million across the operating expense categories primarily in research and development and G&A. Research and development expenses increased to 17.1% of revenue in the quarter, up from 15.5% last year as we continue to invest in innovative technologies to meet our clients evolving needs. We will continue to make incremental R&D investments in fiscal 2019 to further advance our orchestration in cloud offerings as well as for the new applications framework, Mike mentioned. Sales and marketing expenses this quarter were approximately 32.3% of revenue, up from 27.6% last year as we invested in our sales capabilities. With better sales performance in the fourth quarter commission expense drove higher sales expense as a percentage of revenue. General and administrative expenses totaled 15.9% of revenue compared to 14.5% last year, primarily as a result of increased vanity expense as well as the severance cost mentioned above. The additional incentive compensation expense and severance charges increased our adjusted EBITDA loss to $11.4 million or 9.4% of revenue for the quarter versus guidance of $7 million to $8 million. Our net loss for the quarter widened to $9.9 million from $1.6 million last year, primarily due to increased sales investments and the other expenses I just highlighted. Net loss per share was $0.12 including the foreign exchange impact of a penny. I will now highlight a few items related to the full fiscal 2018, all on a non-GAAP basis. Total revenue was $468.5 million an increase of 8.9% compared to fiscal 2017. Full year non-GAAP revenue growth when normalized for the extra week was 11.2%. Gross margin was 54.7% compared with the gross margin of 53.9% last year. Including the items that negatively impacted margins in the fourth quarter of 2018 that I mentioned earlier, margins expanded 80 basis points primarily due to leverage in our subscription-based solutions. Our net operating loss was $39.9 million compared with the net operating loss of $26.1 million in the prior year. This increase was driven by sales and R&D investments as we position for growth. Our adjusted EBITDA loss for the year was $26.5 million versus a forecasted $22 million to $23 million. Net loss per share was $0.34 for the year, including the negative $0.02 per share foreign exchange impact. Moving on to cash flow and balance sheet items. Operating cash flow was $4 million in the fourth quarter and $0.8 million for fiscal year 2018. In fiscal 2017, we had a used cash of $6.8 million. We invested $2.1 million in the fourth quarter in capital expenditures to support our growth bringing year-to-date CapEx to $13.8 million. Turning to liquidity, we finished the year with cash of $101.5 million with no debt. We also have an untapped $30 million credit facility which was recently extended for an additional year on similar terms. Our net accounts receivable totaled $157.8 million at the end of the quarter. Accounts receivable higher due to seasonality associated with annual contract billings as well as the impact of revenue growth. During the fourth quarter we've recorded a onetime tax benefit of $0.34 per share in our GAAP results due to the impact of the tax cuts and jobs act of 2017. The impact was primarily related to the remeasurement of our deferred tax liabilities. The implementation of the new tax law also had an impact on our fourth quarter effective tax rate as we have one month in the quarter at the new lower federal rate. Also note, our balance sheet has a tax receivable from Dell of approximately $21 million which we expect to collect during the second half of fiscal 2019. Now for FY'19 guidance, which reflects the impact of ASC-606 and its related statements, which SecureWorks adopted for fiscal year-ending February 1, 2019 using the full retrospective option. To assessing this impact, we have posted supplemental schedule, a supplemental schedule detailing the quarterly impact for fiscal 2017 and 2018 on the Investor Relations section of the SecureWorks' website. As indicated in the brief summary included on our website. Since most of our subscription revenue has always been recognized over the life of the underlying contract. There was an immaterial impact on revenue of adopting the new standard. However, the application of ASC-606 we will have a lower expense due to the requirements to deferred and amortized client acquisition costs including sales commissions and certain installation costs. As you will see in the schedules, the impact of adoption on revenue in fiscal 2018 is about $25,000, while operating loss is approximately $12.5 million lower under 606. For the first quarter of fiscal 2019, we expect both GAAP and non-GAAP revenue to be in the range of $122 million to $123 million and we expect non-GAAP net loss per share to be in the range of $0.06 to $0.07, based on approximately $81.0 million weighted average shares outstanding. For fiscal 2019, we expect both GAAP and non-GAAP revenues to be in the range of 512 to 516 million. We expect our non-GAAP net loss per share to be in the range of $0.16 to $0.20 per share assuming a 26% effective tax rate and 81.0 million weighted average shares outstanding. We expect our adjusted EBITDA loss to be in the range of 4 to 8 million. Also, for fiscal 2019, we expect GAAP net loss per share to be in the range of $0.58 to $0.62. As I mentioned earlier, the impact of adopting ASC 606 is in consequential to revenue so whether you’re comparing our guidance for fiscal 2018 on a 605 or 606 basis, growth rates for the first quarter and full year are the same. The impacts of the new standard does reduce expenses and our losses for the year. Our guidance range for non-GAAP net loss per shares of $0.16 to $0.20 includes a benefit of $0.06 to $0.07 per share related to the expense reduction following the adoption of the new standard. We expect our MRR to be in the range of 38 to 39 million at the end of the fourth quarter of fiscal 2019. In addition, we expect our total CapEx will be approximately 16 to 17 million for the full year. I will now return the call to Mike.
Michael Cote : Thanks Lien. This quarter’s positive performance shows we are making a headway in our plans to accelerate our growth trajectory. Our clients trust us, it is foundational to all we do and we fight to earn their trust and confidence every day. We have a strong executive leadership team in place, positive momentum and eager to execute against our fiscal 2019 plans. I’ll look forward to providing further details on our progress next quarter. Before I turn it over to the operator for questions. I want to again express my gratitude to the hard work and dedication of our team members that they put in every day to keep out client space in a digitally connected world. I would also like to thank our clients for allowing Securework to service their trusted cyber security partner and our other stakeholders for their continued support. Operator, if you can now open the line for questions please.
Operator: [Operator Instructions]. We’ll take the first question from Sterling Aunty from JPMorgan. Please go ahead.
Sterling Aunty: Yeah, thanks hi guys. I want to start with if you could help us with maybe giving some additional color around some of the larger deals in the quarter meaning what kind of common characteristics are you seeing in terms of what they’re looking to solve deployment model and geography that will be great?
Wayne Jackson: Good morning Sterling, thanks for the question. So, I don’t have the specific data on the 16 contracts that we referred to that were all over $1 million in annual contract value. They were pretty well geographically distributed between the United States and Europe for the most part. They were across a group of different industries, so wasn’t any specific industry. The solutions will be similar to the ones that I noted in my prepared remarks where they look for us to help do prevention and detection solutions as well as what I call it the industry term of managed detection response where they’re really asking us from a detection perspective to deduct validate and remediate the problem. Most of the contracts were multi-year engagement with for the most part and I think, is there anything…
Wayne Jackson: Good morning. So, the client that Mike walk you through is s a very large new contract for us and the other 16 contracts are really a subset of those same services broken out differently for different clients.
Michael Cote : I guess the only other thing I'd add to it, Sterling, is that the sales cycles on the 16 contracts probably ready from a long of a year to as short as probably three months.
Sterling Auty: Okay, great. And then one follow-up would be as you're heading into the new fiscal year, you have a new Chief Revenue Officer, how would you kind of characterize the status of the sales force in go-to-market function in total? Are all the pieces in place and changes are done or is there still some final work to be done in terms of moving parts?
Michael Cote : I would say that the pieces are in place and we’ve made a lot of progress in the last 12 months particularly, we closed Q4 under the leadership of our existing sales organization, I sort of mentioning the individuals in Europe, in the U.S. and the two gentlemen in the U.S., and one in Europe that were leading us globally, they're all here. Geoff has added a couple of senior leaders who actually start early next week I believe and I think the hope is and the plan is continued execution and continued increase of our productivity on a go forward basis and as I mentioned we have one dot/doc and hoping to connect incremental dots over time in the things that Geoff is focused on, which is the people productivity coverage and then consistent methodology and messaging.
Operator: Our next question is from Melissa Franchi from Morgan Stanley. Please go ahead. Your line is pen.
Melissa Franchi: Great, thank you for taking my question. Mike, you said the customer base was relatively flat. So, I'm just wondering what you think is the biggest limitation to this number or what would get the number to move higher and then should we expect that we could see a return to growth in the customer base just given the changes that you've outlined with the new Chief Revenue Officer?
Michael Cote: So, Melissa, thanks for the question. Let me try and answer that in a couple different ways. We don't operate the company based upon numbers of customers. It’s based upon annual contract value or ACV is what we're really driving for, our investments have been much larger over the last few years in the enterprise space. So, the reason why we have an increase in our average revenue per client of up 11% this quarter. We do want and it is important to have a diversity of client base from a geography and a size perspective and we’re continuing to invest in the lower end of the market if you will both from a size and maturity perspective, I would say small to medium size business market is important, but we were segmenting that slightly differently based upon the needs in those markets and some of our larger clients may also fall into that space. So, we do want to - as I mentioned in my prepared remarks, we do want to increase the numbers of clients. We came into the last few years with a much larger and still have a larger of our client base, a larger percentage is in the small to medium size business and we've got a larger investment from a sales organization go-to-market perspective in the enterprise space. So, I would expect us to continue to see and focus on increasing our average revenue per client first but continuing to focus on increasing the number of clients. Does that answer your question, Melissa?
Melissa Franchi: Yes, it does. And I guess just following up to the comment on the average revenue per client up 11%. Can you maybe just add a little bit more color on what's driving that up sale? Is that the enterprises that you're adopting MSS for greater portion of this security architecture, or are you starting to see enterprises purchased additional solutions like the Advanced Endpoint Detection?
Michael Cote : The answer to the question is yes. Meaning that I would start with they're buying more solutions from us and there is more -- we're having more success in the enterprise space. Part of that maybe the enterprise market is more interested and looking for solutions. I think there is in the market change that's occurring in the Equifax breach, quite frankly I think helped drive some of this in North America from an enterprise space. And they're looking to become more of set they, all clients are looking in all of the industry become more effective around managing their risk and ensuring that the spend that they have is reducing risk. And our broad capability across the various aspects we can help them has become -- we saw a lot of receptivity to it in the fourth quarter. I will also add that as we started about a year ago on a path to improve our execution from a sales perspective including in North America, that we did make tremendous progress on that. I man pleased but not satisfied, so we've made progress but we still have room to continue to improve as well on execution.
Operator: Your next question is from Fatima Boolani from UBS. Please go ahead. Your line is open.
Fatima Boolani: Good morning. Thank you for taking the questions. Mike, I wanted to drill in on the revenue retention rate that’s sort of been hovering around in the mid-90s. And I'm curious what sort of programmatic things you need to do to bring that back up to sort of the 100% levels. And then a follow up.
Michael Cote : We clearly are driven for a north of a 100% as a goal. The way the calculation works just to remind you isn't take the beginning of the year recurring revenue from the people that our client at that point in time that have been installed. So, coming off of that base if we start the year in a negative situation as we did this year is really hard to turnaround towards the later part of the year, which I think is part of the impact that we have this year. I think the other part of the impact that we had towards the end of the year was we have to turn the sales into installed revenue in order to get the rate the client revenue retention rate to go back up. So, I am cautiously optimistic for fiscal 2019 with the Q4 sales results we had. And with the increased focus that we're going to have this year from a compensation perspective with our sales force on not just sales but renewing existing clients. Anything you'd Wayne?
Wayne Jackson: Yeah, so couple of, there are two moving parts here. One is cross sells to existing clients. And we've talked about that over the last several quarters and we talked about our sales investment in sales group. So that's a big focus for us. But then also the retention the renewal rate within that client base as well. And as we migrate to the enterprise space and keep in mind enterprise clients the average size of that contract is about 10 times the size of an SMB client. So, it's important not only to cross sell into it but to renew the contracts we have for the solutions we have in place at the enterprise space.
Fatima Boolani: Fair enough. And just around the hiring of your new Chief Revenue Officer, it's nice to see that transition complete. With just background in our say on the E&P side of the house, can you give us an update on what your distribution relationship with Dell is, I know that that was a work in progress. So, I’m curious as to the level of distribution horse power or leverage you’ve seen from the Dell sales force with your solutions and that’s it from me. Thank you.
Michael Cote : I’ve answered that to say that fiscal year 2018 we saw increased productivity and increased business with the Dell EMC sales organization and the Dell EMC organization overall as part of the benefits being connected with the Dell technologies. In this upcoming calendar year, there has been a change in the quarter carriers across the Dell organization are getting total credit not just the referral stiff for anything that they sell for SecureWorks. So, we are excited and cautiously optimistic that there will be a continued uptick of sales opportunities both jointly and referrals from the Dell technology sales force and clearly Jeff Hayden’s relationship with the EMC sellers and the RSA organization should be positive in that.
Operator: Your next question comes from Alex Henderson from Needham. Please go ahead, your line is open.
Alex Henderson: Thanks. I think you guys have always talked about your platform as highly leverageable and I was hoping you could just step through some of the line items and talk a little bit about where you think you have leverage and where you think you need to invest ahead of that leverage between gross margin, R&D, G&A and sales and marketing. It sounds like the platform is a good automation leverage on gross margins and it sounds like you got a spending increases in R&D but maybe leveraging G&A. The one that I have a harder time getting around is the sales and marketing. Do you need to accelerate spending on sales and marketing to push the topline growth to expand geographically or would that be an area that you think you might be able to get some leverage on?
Wayne Jackson: Let me start with leverage on the platform, the CTP and within COGS. We have invested really starting several years ago that we’ve talked about during the last year and a half. We invested in technologies that make the platform more efficient and more effective of course and we are seeing those leverages. Our gross margin increases year-over-year 80 basis points that we’ve talked about in spite of and including the fourth quarter charges that we have. So, the leverage helped to cover those incremental cost. So, A, we have leverage, we will continue to invest and it's very important for us to invest in the CTP for additional leverage going forward. Again, in both efficiency but effectiveness because our clients focus on effectiveness, we focus on efficiency. As well and then, I’ll get to R&D so we’re going to continue to invest in the CTP, but then we’re going to invest incrementally a little bit more in fiscal ’19 as we talked about in the prepared remarks in the platforms that Mike discussed in his prepared remarks. So, both of those are going to continue to invest and expect leverage going forward. Sales and marketing invested heavily from a step, I call it a step function in fiscal ’18 we will continue to invest at the level we were at last year for sales and marketing. We will expect sales to increase and begin to reap those investments. So, we think the level is the right level and what you’ll see is,’19 roll out, the impact of ASC 606, the dollars, some of those will be capitalized. So, you won't see the same amount in the P&L, but the cash investment in sales and marketing will be the same. And, yes, we expect leverage in that going forward.
Michael Cote : In sales and marketing, one of the -- this is Mike, as I mentioned, Geoff is working on productivity and having us to be able to be at – and pushing to the SecureWorks in a position they have increased efficiency across our existing sales team as we saw in Q4, but on a consistent and ongoing basis and growing increased effectiveness into fiscal year ’19. So I think, Wayne addressed each of the line items of your question but if I sort of summarize it, sales and marketing productivity should go up and you should not expect us to see as continue to increase, I would say we’ll be in the 30%-ish range of revenue and there should be leverage on the G&A and the R&D line, we’ll have leverage on it other than the investments we’re making in kind of the new platform we’re looking at the new analytical type work we're doing.
Operator: Your next question is from Jonathan Ho form William Blair. Please go ahead. Your line is open.
Q – Jonathan Ho: Hi, good morning. I just wanted to first ask about the applications framework and maybe can you give us a sense of, what that can add from an incremental contribution standpoint as well as how that maybe expands your opportunity set with your existing customer base?
A – Michael Cote: Jonathan, this is Mike. Thanks very much for the question and good morning. Let me try and give you some insights, first of all, I don't expect a lot of addition or opportunity in this fiscal year. We're continuing to invest in our Counter Threat Platform because it's extremely important part of what we're doing and where we're heading. As the industry is changing as we've talked about on the last couple of calls we have realized that, the intellectual property that SecureWorks has the historical attack data, the algorithm, the analytics, the machine learning, we would like to be in a position where we can share that data across our clients and for anyone in the community that would like to participate with that, while aligning the data that resides in any location. And we started about a year ago the process and beginning to experiment with in prototype of this, we’re putting a lot more effort and energy into it and have some alpha – of clients I’ll say in the next 90 days, but they're going to be open and running on it and we would hope to be in a position as the year progresses that it could have an impact on us in fiscal ’20 or somewhere around in that timeframe.
Q – Jonathan Ho: Got it. And then just in terms of a follow-up, we saw the strong international growth this year, how should we be thinking about the growth opportunity outside of the U.S., and would you expect that to be significantly faster than the growth rate inside the U.S?
A – Michael Cote: So, this is Mike again, Jonathan, thanks. The base outside the U.S. is a smaller base. So, from a percentage growth perspective, I would expect the growth rates both in APJ and Europe to exceed our North American growth rates. As I've mentioned we have our leadership team and our sales general managers and leaders in those markets who have been in place for a longer period of time and are executing very well and we're planning and optimistic that they will continue to have that execution level and therefore the growth rate as a percent outside of North America I think would exceed our North American growth rates. Now having said that, we are seeing improved productivity in North America and it's a focus area for Geoff. And I think we will see North America reaccelerate or continue to accelerate as we have in the fourth quarter.
Operator: Your next question is from Saket Kalia from Barclays Capital. Please go ahead. Your line is open.
Saket Kalia: Hey good morning guys, and thanks for taking my questions here. First, maybe for you Wayne. You gave some of the margin impacts of the severance during the quarter. I think you said it was about 100 bps of impact on gross margins. Can you just remind us roughly how big the restructuring was in the quarter? And what the total, I'll call it onetime cost were?
Wayne Jackson: Sure, Saket. Good morning. So total restructuring or the WFR was rounded $4 million $3.7 million broken out between COGS and OpEx.
Saket Kalia: Got it. That's helpful. And then maybe for you, Mike. As you look at those 16 deals with over a $1 million in ACV. The question is how are those customers handling security internally versus co-sourcing with you. I guess are these customers that don't have large security teams and therefore are maybe trying to mature their security organization. Or are the sizable teams already that were looking to have a partner if that make sense?
Michael Cote : So, in those cases of those 16 contracts are we their only security solution meaning that they do not have an internal security group. When you say large -- some of them have a large internal security organization and some of them -- it depends, large is a relative term, and some of them have I'd say a fair size internal security organization. Most all of them are going through the digital transformation and a change and looking for us to help them and help ensure that they can deploy their resources in the appropriate manner to ensure the best solutions possible. We would look at sort of smaller clients or smaller opportunities or less sophisticated organizations to look at us and say do it for me. In the larger organizations, it's partner with me, or complex session and I would say these $1 million deals have both following a larger and complex basically made me better. So, in all 16 cases, they had some sort of security group, I talked about this before but the industry seems to really be changing from the perspective of more demand from above and ensuring that they are measuring and reducing risk in some -- performance spending their money their internal money in a way that they can see a measurable impact. And I think part of that is really allocating their internal resources and gaining help where there are organizations that have in our case a diverse client base with a lot of intellectual property to help them in the whether it's prevention, detection, responding or transitioning to the cloud.
Operator: [Operator Instructions].
Operator: Your next question is from Matt Hedberg from RBC Capital Markets. Please go ahead your line is open.
Matt Swanson: Thanks. It's actually Matt Swanson on for Matt. Can you drill down a little bit on the MRR growth during the quarter, it seems like it's kind of in the thing that we’ve been chasing all year and just what happened that was so successful this quarter after lowering guidance last quarter?
Michael Cote : So, what I would say happened this quarter Matt and this is Mike, thanks for the question was execution. We have been -- we invested in our sales organization, we’ve focused on those fundamentals where people, productivity, covers, messaging and methodology and we ended up executing well in Q4. The opportunity in the market is clearly there. We focused on renewing the clients and the solutions where possible and selling deals.
Wayne Jackson: You’re right we lowered the MR guidance last year or last quarter but we had a strong pipe. We had ramped up the number of product [ph] carriers, actually it was great to see execution came on board and came into play [indiscernible] begin to come into play. Mike did focus on one thing in his earlier comments, the productivity for Q4 was really centered around some of the more tenured sellers and we’re going to see that productivity expand across the entire sales force going forward but in Q4 it all came together.
Matt Swanson: That’s great. And then just circling back on some of the talked about Europe it sounds like a lot of execution is companies specific but I just wonder if you’ve seen any uptick in conversation around GDPR?
Michael Cote : Mike again, GDPR is clearly a discussion point and it was involved in all of the conversations starting with where we are from a GDPR perspective which we will be fully compliant and have tested that compliance in advance and we can play a role in helping our clients from a GDPR perspective. So, I do think that it was a driver of sorts in the quarter?
Operator: There are no further questions at this time. I now turn the call back over to the presenters.
Teri Miller: Thank you, operator. Thank you again for joining us on today’s call and for all of your questions. We appreciate your support and look forward to our first quarter call in early June. if we do not get to your questions on the Q&A sections, please don’t hesitate to reach out to us for a follow up.
Wayne Jackson: Thank you everyone.
Michael Cote : Thanks everyone. Have a good day.
Operator: Ladies and gentlemen that concludes today’s call. You may all now disconnect.